Operator: Good day and welcome to the Big 5 Sporting Goods' fourth quarter 2014 earnings results conference call. Today's conference is being recorded. On the call today from the company we have Mr. Steve Miller, President and CEO; and Mr. Barry Emerson, CFO. At this time, I would like to turn the conference over to Mr. Steve Miller.
Steve Miller: Thank you, operator. Good afternoon everyone. Welcome to our 2014 fourth quarter conference call. Today we will review our financial results for the fourth quarter and full year of fiscal 2014 and provide general updates on our business, as well as provide guidance for the first quarter. At the end of our remarks, we will open the call for questions. I will now turn the call over to Barry to read our Safe Harbor statement.
Barry Emerson: Thanks Steve. Except for statements of historical fact, any remarks that we may make about our future expectations, plans and prospects, constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in current and future periods to differ materially from forecasted results. These risks and uncertainties include those more fully described in our Annual Reports on Form 10-K, our Quarterly Reports on Form 10-Q and our other filings with the Securities and Exchange Commission. We undertake no obligation to revise or update any forward-looking statements that may be made from time to time by us or on our behalf.
Steve Miller: Thank you, Barry. Our fourth quarter earnings came in within the range of our expectations, excluding certain onetime changes, despite what turned out to be a very challenging holiday season. As we previously announced, our fourth quarter net sales were $250.3 million up 0.9% from $248 million for the fourth quarter of fiscal 2013. Same store sales decreased 0.5% for the period. We comped positively and very much on plan in the low single digit range in both October and November, but sales fell short of our expectations during the holiday selling period and swung to the negative low single digit range for the month of December. The shortfall was largely due to weaker than expected sales of firearm related products and soft sales of winter related products as temperatures throughout virtually all of our markets were substantially warmer than normal prior to Christmas. When winter weather finally did arrive over the last few days of the quarter, our business responded very positively. In addition we believe that our holiday sales were impacted by a highly promotional brick-and-mortar and online retail environment. We experience a low single digit decrease in customer transactions and a low single digit increase in average ticket during the fourth quarter versus the prior year. From a product category standpoint apparel and footwear comped up in the low single digits despite the negative impact of the adverse weather on sales or winter related apparel and footwear. Sales in our hard goods category comped down below single digits, primarily due to the continued impact of reduced demand for firearm related products. If we were to exclude firearm related products, the rest of our hard-goods categories would have comped up in the low-single digit range. Merchandize margins decreased by 13 basis points for the period compared to the fourth quarter of last year when merchandise margins increased by 47 basis points over the fourth quarter of fiscal 2013. As the holiday season played out, we did step-up some of our own promotional activities in an effort of drive traffic and sales. We were pleased that we are able to generally protect merchandize margins given the highly promotional retail environment.
,: In the first quarter we have closed three stores. One is part of the relocation that began in fiscal 2014 and we anticipate opening one more. Our plans for 2015 call for us to open approximately 10 net new stores. In addition, we plan to continue our program of enhancing our store base and investing in fixtures that we think will better showcase our evolving product mix. I’m also pleased to report that we launched our e-commerce platform mid way through the fourth quarter. Sales from e-commerce were immaterial to 2014 given the timing of the launch and our phased approach to ramping up our online product selection. We look forward to analyzing and growing our e-commerce platform as we integrate e-commerce with our existing merchandizing and promotional strategies over the course of 2015 and beyond. Now turning to current trends. We got off to a great start for 2015 as, same store sales increased in the low double digit range for January on the strength of outstanding winter weather conditions in our Western U.S. markets over the New Year holiday period. Unfortunately winter weather conditions turned extremely unfavorable for us, meaning significantly warmer than normal temperatures and a tremendous lack of snowfall throughout our markets beginning in mid-January and remained that way through much of February including the President’s Day holiday which is a key period for winter product sales. As a result, our winter businesses has been negatively impacted, which has led to a same store sales decline in the low single digit range for our February period. Combining our strong January with our soft February as our same store sales riding up in the low mid-single digit range for the quarter-to-date. We are encouraged by the strength we are seeing across a number of key non-winter related categories, which has enabled each of our three major merchandize categories footwear, apparel and hard goods to comp positively for the quarter-to-date. While we believe that we are positioned for positive sales in March, the shipping backlog from the now tentatively resolved labor dispute at West Coast ports through which most of our products travel, has created uncertainty about product availability and the resulting impacted to sales. We are actively working to mitigate the impact of the port dispute, but given our concentration of the Western United States, we are highly exposed to disruptions in West Coast port traffic. While we are hopeful that the product flow through the ports can get back to normal as quickly as possible, we recognize that there are a number of factors at play and it will take some considerable time to work through them. Before I turn the call over to Barry, I’m pleased to report that we recently signed a lease for a roughly 170,000 square feet warehouse facility, across the street from our existing 953,000 square feet distribution centre in River Side, California. This new facility will house our return goods, recalls of store fixture functions, which will open up more space in our existing distribution centre to support our ongoing merchandize initiatives, including skewed growth for greater store merchandize customization as well as e-commerce. The new facility also will allow us to bring in-house certain pricing and repacking services that we have been outsourcing, which should offset a portion of the cost of the new facility. We are excited to be able to capitalize on this opportunity and stretch the capacity of our existing distribution facility to support our continued growth. With that said, now I will turn the call over to Barry, who will provide more information about the quarter, as well as speak to our balance sheet, cash flows and provide first quarter guidance.
Barry Emerson: Thanks Steve. Our gross profit margin for the fiscal 2014 fourth quarter was 31.6% of sales versus 32.6% of sales for the fourth quarter of fiscal 2013. The lower gross margin for the period reflected the 13 basis point decline in merchandise margins that Steve mentioned, along with an increase in distribution and store occupancy costs as a percentage of sales. Our selling and administrative expense as a percentage of sales was 29.7% in the fourth quarter versus 28.9% in the fourth quarter of fiscal 2013. On an absolute basis, SG&A expense increased $2.6 million year-over-year or 3.6%, due partly to a pre-tax charge of $1.4 million related to legal accruals and a $0.4 million non-cash impairment charge. The legal accrual was higher than we expected when we provided updated guidance in early January as a result of events subsequent to the quarter in ongoing litigation involving the company. Our increased selling and administrative expense also reflected higher employed labor and benefit related expense and added expense for new stores resulting from our increased store count, partially offset by a decrease in print advertising. Now, looking at our bottom line. Net income for the fourth quarter was $2.8 million or $0.13 per diluted share, including $0.04 per diluted share for the pre-tax charge for legal accruals; $0.01 per diluted share for the non-cash pre-tax impairment charge and $0.01 per diluted share and expenses associated with the development and operation of our e-commerce platform. This compares to net income in the fourth quarter of fiscal 2013 of $5.2 million or $0.23 per diluted share, including $0.01 per diluted share for expenses associated with the development of our e-commerce platform. Briefly reviewing our 2014 full year results, net sales decreased to $977.9 million from $993.3 million during fiscal 2013. Same-store sales declined 2.9% during fiscal 2014 versus the prior year. For comparison purposes, the company same-store sales increased 3.9% in fiscal 2013 over fiscal 2012. Net income for fiscal 2014 was $14.9 million or $0.67 per diluted share, including $0.04 per diluted share for legal accruals, $0.03 of non-cash impairment charges and $0.03 of e-commerce development and operation expenses. This compares to net income for fiscal 2013 of $27.9 million or $1.27 per diluted share, including $0.04 for legal accruals and $0.02 of e-commerce development expenses. Turning to our balance sheet, total merchandise inventory was $310.1 million at the end of fiscal 2014, up 3.0% from the prior year. On a per store basis inventory was up 0.5% versus the prior year, which is a meaningful improvement from our third quarter year-over-year comparison when per store inventories were up 4.8% versus the prior year and reflects the rightsizing of our inventories following the excessive winter product carryover which resulted from the very poor 2013/2014 winter season. Looking at our capital spending, our CapEx excluding non-cash acquisitions totaled $22.6 million for fiscal 2014, primarily reflecting expenditures for 16 new stores, increases in existing store maintenance and enhancements and computer hardware and software purchases, including investments related to the development of our new e-commerce platform and a new point-of-sale system. We currently expect total capital expenditures for fiscal 2015, excluding non-cash acquisitions of approximately $28 million to $32 million primarily to fund the opening of new stores, store related maintenance and enhancements, distribution centre equipment and computer hardware and software, including investments related to the development of a new point-of-sale system. From a cash flow perspective our operating cash flow was $28.5 million for fiscal 2014 compared to $26.3 million for fiscal 2013. The increase in cash flow from operations primarily reflects reduced funding of inventory purchases this year, partially offset by lower net income. For the fourth quarter we continue to pay our quarterly cash dividend of $0.10 per share. Additionally during fiscal 2014 we repurchased 223,051 shares of our common stock for a total expenditure of $2.5 million. We have continued our share repurchasing in fiscal 2015 and year-to-date through February 20 we have repurchased 74,873 shares of our common stock for a total expenditure of $0.9 million. As of February 20 we had 6.2 million available for stock repurchases under our 20 million share repurchase program. Our long-term debt at the end of fiscal 2014 was $66.3 million, up from $43.0 million at the end of fiscal 2013, primarily reflecting funding of working capital, capital expenditures, cash dividends and share repurchases. Now I’ll spend a minute on our guidance. As Steve mentioned, same-store sales are currently running up in the low mid-single digit range for the quarter. While we believe that we should be positioned to produce positive same-store sales for March, the shipping backlog from the tentatively resolved labor dispute at West Coast ports has created uncertainty about product availability and sales. We have attempted to reflect the anticipated impact of the port dispute in our outlook for the first quarter. Over the period we are guiding to same-store sales increase in the low to mid-single digit range and earnings per diluted share in the range of $0.06 to $0.13. Operator, we are now ready to turn the call back to you for questions-and-answers.
Operator: [Operator Instructions] And we’ll take our first question from Sean McGowan with Needham & Company.
Sean McGowan: Good afternoon, guys. I have a couple of questions if I can. Steve, can you talk a little bit more about what trends you are seeing in the firearm business, what your outlook is for that segment throughout 2015 and separately then, how much of the – if you look historically there has been a wide range of earnings resulted for the first quarter. How much of the weakness do you think is just related to winter merchandise and if you have what you would categorize as a more normal winter, do you think the earnings could be kind of back-up in the $0.20 plus range?
Steve Miller: Yes okay, let me take the first question first. In terms of trending of firearms I mean, these categories I think as you know trended significantly down throughout 2014, as well as in Q4, recently reported Q4 where we had nearly a 220 base impact to same-store sales. This impact was actually somewhat less than what it was in Q3 and Q2. For overseas category really it’s been difficult to predict given these – we’ve sort of lost touch with what the normal cadence of the category is. We still have lingering supply issues of surrounding 22 ammunition. With that said, we are highly confident that we beyond the most difficult comparisons to the prior year. We expect that the categories will be an overall drag to Q1, but to a much, much less degree that it was over the course of 2014, over the recent weeks the trending has been a more positive and we certainly believe that we are – certainly hopeful and then do believe we are likely to get to a place where we are not going to be singling out these categories as a real issue in our business every single quarter.
Sean McGowan: Thank you.
Steve Miller: Okay, I mean in terms of the volatility in Q1, probably most of the volatility or a large portion of volatility over the last few years in Q1 relates to the surge in [Indiscernible] and kind of the business, the impact of that business certainly along with the weather. This year as we mentioned, the weather was highly favorable for us at the start of the quarter. We mentioned that we comped up double digit in the month of January on the strength of really getting sensational weather really over the New Year’s holiday, a key period of winter recreation. That weather, that was significant enough to sustain interest in the category throughout the early part of January. The Martin Luther King holiday, another period of meaningful winter recreation. Unfortunately following that the weather turned - not just higher than normal, but really higher in a rather epic way where we were facing some of the highest enormous temperatures throughout our entire market and many years and in some cases all years, as well as a tremendous lack of snowfall that tremendously impacted the opportunity to sell winter products over the February and the very important Presidents’ Day holiday. So I think it’s on a normal basis weather wasn’t particularly favorable last year for most of the first quarter. It started off good and got very unfavorable this year. We think if weather performed in the manner in which it probably has historically over most years, our first quarter absolutely would benefit and I think a more normalized earnings rate would be certainly higher than what we are today and talking about today and hopefully in the $0.20 and excess of $0.20.
Sean McGowan : Well, I guess I’m puzzled by is that you had really negative same store sales in the first quarter of last year and it sounds like firearms are at least not worse than last year, may be a little bit more of a drag, but not as much as last year and you are talking at least quarter-to-date that your winter merchandise is down, but the overall should be...
Steve Miller: Okay, let me correct your statement. We didn’t say that our winter merchandise is down quarter-to-date, nor our comps. We are comping up in a low mid single digit range, our period-to-date. Our winter business for the period is comping positively on the strength of its tremendous performance in January. Last year we had absolutely no winter business effectively in January. The huge issue last year when we comped down was the firearms. The firearm business had as I recall a 650 basis point negative impact to our comps last year and for good measure, the winter was highly unfavorable in Q1 of 2014 over 2013 as well.
Sean McGowan : I guess that what I’m curious about is how would you have the bottom end of your guidance range be lower than last year if it sounds like things were – these extraneous non normalized factors were a lot worse last year?
Barry Emerson: Well Sean, let me jump in here, a little bit here. Let me try and settle the light. The sales is one thing of course and then there is the margins. At this point in our guidance we are anticipating margins to be in relatively flat with last year and last year they were down at 28 basis points. We have been seeing certainly some pressure on occupancy costs and we are having housing costs as our store growth, has continued and as similar leases come up for renewal, so there is pressure on the occupancy side. One thing to kind of point out though is we are also anticipating a reduction in distribution costs capitalized in the inventory of approximately 40 basis points in the first quarter, because of a larger Q1 2015 reduction in our inventory and increasing sales in that quarter. In other words to simplify it, increasing inventory returns and with increasing inventory returns for the period, it will likely result in fewer days of cost capitalized in the inventory. So that’s got a $0.02 to $0.03 impact also on the quarter.
Steve Miller: Sean and just a couple other factors that are affecting our top line this quarter. We are focusing entirely at guns and firearms and the winter, let me make clear, we still see firearms as being somewhat of a drag to our comps this quarter, but additionally we had a football game that didn’t exactly go our way. In one heartbeat of a second goal call we had lost the opportunity to have a super ball champion in our region and we are confident against the positive result of the Seahawks winning last year and additionally, and I don’t think it’s insignificant, it’s the impact of the port strike that has been and we think impacting our business and will certainly continue to represent the headwind over the remainder of the period and potentially beyond.
Sean McGowan: Thank you.
Steve Miller: You’re welcome.
Operator: Our next question comes from Mark Smith with Feltl and Company.
Shannon Richter: Hi, yes, this is Shannon Richter on for Mark Smith; just a couple of questions for him. Can you talk about earlier result on the e-commerce that you guys are seeing so far?
Steve Miller: Yes sure, it’s early. As we mentioned we launched our e-commerce site in the middle of Q4 with a limited selection of our existing products. The sales as mentioned were immaterial with 2014 given the timing of the launch. We are looking to analyze, evaluate, grow our e-commerce platform over a period of time as we integrate the e-commerce with our existing merchandise and promotional strategies. Our philosophy is to grow our e-commerce business much in the same fashion as we’ve grown our stores over our near 60 year history. We are moving slowly and prudently. We are evaluating product selection, shipping options in a careful manner and we are not anticipating that this could be material to our current quarter nor for a likelihood to our current year in terms of sales or income. What we are trying to recognize is to avoid some of the – be certain as we roll out our e-commerce, we do it in a matter that is accretive to profits and that suggest that we do it carefully.
Shannon Richter: Okay, and then just one other question. What is your expectation for tax rate in 2015?
Barry Emerson: Yes, go ahead – for the full year I’d use that 39% event.
Shannon Richter: Perfect. Thank you guys so much for taking my questions.
Steve Miller: You’re welcome.
Operator: [Operator Instructions] And we’ll take our next question from Bill Dezellem with Titan Capital Management.
Bill Dezellem: Hi, thank you, a couple of questions. First of all, in your opening remarks you made reference to the legal expense being higher than what you had originally anticipated, which I think has originally been $0.001. I didn’t catch quite why that was and hoping you can go into a little more detail on that please?
Steve Miller: Sure Bill. In Q4 we’ve recorded a pre-tax charge for legal accruals of $1.4 million. The charge includes a settlement accrual for the zip code lawsuits, which have been previously disclosed in our filings with the SEC. The charge also includes a provision related to a wage an hour lawsuit involving certain distribution centre personal which will be discussed in our 10-K to be filled later this week. That provision was determined after the issuance of our revised guidance from early January.
Bill Dezellem: So that’s the incremental piece.
Steve Miller: Right.
Bill Dezellem: And that puts all litigation now behind you or do you still have some outstanding litigation of note, not the little minor stuff -- someone slipped on a $20 or whatever?
Steve Miller: Yes, anything that’s material will be disclosed in our 10-K that’s going to be filed in the next – actually tomorrow. But the answer is, there is nothing that we are aware of that would be – again, anything significant will be in the 10-K, but there is always little things that you have to deal with as a public company and frankly in California.
Bill Dezellem: Understood and then I’d like to shift to the next line of thought down, back to the weather and clearly the weather has been much, much warmer than normal, which is bad for skiing, but it’s actually very good for spring outdoor activities. At what point does that start to work in your favor that you get people out, may aren’t winter sports enthusiasts, but do get out that they are now finding this is really appealing and it starts to benefit you?
Steve Miller: Well, one you can’t make up lost winter business, because people buy – if people aren’t going – if there is no snow nobody is going to buy thermal underwear, toboggan, etcetera, so that’s business that you can’t recapture. Spring and summer business, sometimes if you have better weather you may fast forward a purchase of running shoes. I’m not sure you get the sort of the net game. From a calendar stand point, we are at the point of time where baseball becomes a bigger and bigger part and spring sports becomes a bigger and bigger part of our sales mix and probably if we have severe winter weather now, probably the downside to losing immediate baseball sales is probably larger than the upside of capturing whatever winter sales there are. Generally most baseball purchases ultimately happen. They may just happen on different timing depending on weather. So, but clearly we are at the point now where if we can have anything we want, we probably have a little snow falling in the mountains during the week and baseball fields dry for a weekend recreation.
Bill Dezellem: Understood, and given that you did have carryover winter inventory last year and you normally do sell winter inventory in the first quarter, which you did that in January, how are you feeling about your winter inventory? How is the carryover looking, like it will likely be, etcetera?
Steve Miller: Yes, we feel pretty good about it. Again last year after a bad winter that virtually for the entire quarter, we had a very significant winter carryover. We bought around it this year. I think the benefit we received at the very end of the year and certainly beginning of this current fiscal year pretty much assured us of ending the winter season with significantly less winter carryover than last year.
Bill Dezellem: Great, thank you both.
Steve Miller: You are welcome. Thank you, Bill.
Operator: Our next question comes from Sean McGowan with Needham & Company.
Sean McGowan: Thanks, a couple of addition questions. Barry, would you expect that for the full year will the e-commerce effort be a drag on earnings or will be basically a break even or positive.
Barry Emerson: Yes Sean, we are not expecting it. We mentioned not material, we mentioned it’s not going to – we don’t expect it at this point. We hope we are wrong, we hope it goes through the roof, but at this stage we are not expecting our sales to be material or the profit impact to be material. If I was to kind of think about it, I would kind of think about it, more or less a breakeven for the year.
Sean McGowan: And as you’re going forward, I know the numbers so far are pretty small, but are they kind of hitting your internal milestones as you measure your own progress, on the e-commerce I’m talking about.
Barry Emerson: Sean, we are just rolling this out in a slow, in a kind of a direct way, trying to test things as we go. So I don’t know that we had huge expectations and I think we are satisfied with the progress, but we’re not kind of in this to – we don’t see this as being a make or break. It really is – we are looking out as an additional sales channel for our customers and just to kind of support the overall brick-and-mortar convenience aspect of our business.
Steve Miller: We’re gradually expanding marketing efforts, testing different methods to drive consumer awareness and drive people to our site for online purchasing. But all efforts really revolve around a unified approach to better serve our customers both online and through obviously our brick-and-mortar outlets. So pretty much a work in progress.
Sean McGowan: Thank you. I think I can infer from an earlier answer, the answer to this one, but I’ll ask it anyway. So if you talk about being cautious on the outlook for the first quarter because of delays in receipts related to the port, does that mean that those sales cannot be made up later in the year. Is that the nature of what you’re waiting to receive?
Steve Miller: Yes, I mean I think look, I suspect some of it could be made up I mean and some of it possibly is lost. That’s a good question. I think it’s very difficult to quantify. In some cases, I mean we are definitely experiencing significant delays in receiving loss of product. In some cases it means that we are out – if you’re out of size 9.5 of a shoe that a customer would have bought, will he buy that shoe later? Did he buy another pair in lieu of the fact that we didn’t have that size, that’s certainly difficult to quantify. If somebody was going to buy a product for the Presidents Day weekend and we didn’t have that product, I suspect that’s a loss sale that can’t be made up. Hopefully this will become a bigger issue if we’re real late getting some of our seasonal product end to ramp up for the summer selling season and a like and we are cautiously optimistic that this issue is going to certainly get solved and the catch up will be reasonably prompt and we’ll hopefully not miss too many sales.
Sean McGowan: Great, and then the last question is on store openings. So you’re talking about 10 net for the year. Can you kind of talk about that in new versus closing and is the number of stores your looking to open, is that a number that you would have wished to be higher, but some things set you back or is that kind of your target number that you would have liked?
Steve Miller: I think it’s a number that we are comfortable with now and just looking at the real estate opportunities that we are seeing and we anticipate that it may mean 13, 14, 15, 16 openings plus or minus and offsetting closures to get us to 10. It’s still early in the year. From our experience we often have opportunities to open the stores later in the year that don’t exist today. It’s always difficult to predict, but it’s a number that we think is our best estimate with all the information we have today.
Sean McGowan: Okay, thank you very much.
Steve Miller: Thanks Sean.
Operator: And we’ll now take our final question from Michael Baker with Deutsche Bank.
Michael Baker: Thanks. I wanted to follow up on the West Coast port issue and understand. So is the impact in sales and if so, correct me if I’m wrong, but you said you’re running low to mid single digit comps and that’s your expectation for the quarter. So where is the impact to the West Coast port strikes and is there also an impact on any of your expense lines. In other words, you would have to air freight things in or pay more to get products through the ports. Thanks.
Steve Miller: I mean, again it’s very difficult to quantify the impact as I tried to explain, of products being delayed. There is absolutely no question that whatever our sales are and what we’ve reflected in our guidance is negatively impacted by the West Coast port dispute. So we have a – we think there is some further impact and we think it will be a bigger impact in March than what we’ve received. It seemed thus far that we’ve had to change a number of products within our promotional campaigns to accommodate late shipments. Again, it’s difficult to quantify what the impact is of replacing an item that you thought you would have with an ideal, essentially the next best item that you could put in the spot, but we’ve sort of factored that all in our thinking. We’ve provided guidance as best we could given the situation at the port.
Barry Emerson: And Mike, there could be a little bit of elevated costs in terms of – they are really cranking it up at the port and we’re going to try and open our doors and work some overtime to get the product into our DC and then allocate it to our stores. There could be some demerit costs at the ports and some overtime on our end, but that’s been incorporated into our guidance.
Michael Baker: Understood. But so if I could just clarify, you would have expected an acceleration in March relative to your low to mid single digit run rate quarter-to-date. It’s not to the West Coast port strike. Is that fair? Again, I’m just trying to figure out what you said. It’s reflected in your guidance, so your comp estimate for the quarter is lower than you otherwise would have had it if not for these strikes.
Steve Miller: Well, I mean again would it have changed the range, I’m not sure we can speak to that. I think our result would have been higher. We feel we have a strong plant where we’re excited about how much of our inventory is performing if we can just sort of neutralize, get normal weather. We can get over the hump of the combating of firearms, where again as I mentioned we think we’re at a point where we believe that should be much less of an issue for us, strong promotional plans. So we are feeling pretty good about our prospects for March, offset by the, sort of the unknown quantification of the impact of the port strike.
Michael Baker: Understood. If I could ask one more follow-up on it, if you can’t get some product in, can you cancel products or divert it or what happens to some of those goods that if this thing lingers or if delays continue, that will be too late for you to take. Do you take them in and hold them off to next year or you cancel and divert them somehow.
Steve Miller: I mean, fortunately most of our products that we sell is not soo trendy that we are not going to miss having Easter dresses in our stores if the shipment is late. So I think the vast majority of the product will take it. We still need it, we’ll still want it. The work in progress is to make adjustments in future orders, because if we receive this late, we need to and we’re working. I mean it’s a constant process between our buying team and our vendors, to try to adjust future orders in recognition of the impact of the port strike. Certainly if there is some product that we receive and it’s just way after the fact, we’ll deal with our vendors on a one-by-one basis to try and ultimately do the right thing.
Michael Baker: Okay, great. Great color, I really appreciate it, thank you.
Steve Miller: You’re welcome.
Operator: And it does conclude today’s question-and-answer session. At this time I will turn the conference back to Mr. Miller for any additional or closing remarks.
Steve Miller: All rightie, thank you operator. We appreciate all your interest in Big 5 Sporting Goods and we look forward to speaking with you on our next call. Have a great afternoon.
Operator: Thank you for your participation. This does conclude today's call.